Operator: Greetings, and welcome to the CorEnergy’s Third Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Lesley Robertshaw. Please go ahead.
Lesley Robertshaw: Thank you, and welcome to CorEnergy Infrastructure Trust third quarter 2016 earnings call. I’m joined today by David Schulte, CEO and President. Consistent with our practice started last quarter, we will provide abbreviated commentary on this call. We will not pause for questions at the end due to dependency of mediation with Ultra Petroleum, so other management team members are not participating today The presentation materials for this call as well as information included in our press release issued Wednesday and then audio replay of this conference call will be available on CorEnergy’s website. We would like to remind you that statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection available under applicable securities law. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our website. We do not update our forward-looking statements. Reconciliations between GAAP and non-GAAP results, which we discussed on this call, can be found in our related earnings release. At this time, I would like to turn the call over to President and CEO, Dave Schulte.
David Schulte: Thank you, Leslie. Beginning with last quarter’s key events, our Board approved $0.75 common stock dividend for the third quarter or $3 annualized. Flat to the prior quarter and consistent with our previous guidance. All of our tenants remain timely on lease payments, but we will continued to pay dividends at this rate and in the outcome of bankruptcy processes affecting our tenants. We completed the restructuring of the second salt water disposal investment early in the fourth quarter. The Four Wood Financing Note now has an interest rate of 10% with the principal amortization scheduled to begin in September of 2018. We expect to convert a $1 million TRS loan into a preferred ownership interest in the borrower. And these adjustments will not affect AFFO until Four Wood generates sustainable operating margins and the reserves for collection have been removed. Finally, we’d like to welcome Nate Poundstone to the CorEnergy team. Nate joins us with 18 years of accounting experience most recently serving as Vice President and Chief Accounting Officer of CVR Energy, a publicly traded holding company, which also in control of two publicly traded [Indiscernible] partnerships. These MLPs reached consolidated revenues of approximately $9 billion during his tenure with operations in refining and nitrogen fertilizer. Prior to that, Nate served as a Senior Manager at KPMG, with audit and professional practice responsibilities. Following the filing of our third quarter 10-Q report, Nate will take over the reigns of the Chief Accounting Officer and we look forward to having him utilize his expertise as we grow our company. Adding Nate, will enable Becky Sandring to focus her time on re-accounting in tax matters to support our business development activities. On slide 4 and 5, we'll provide an update of the bankruptcy processes of the parent companies of our two largest tenants. Energy XXI continues to make progress in their Chapter 11 process. process and is scheduled to begin confirmation hearings on November 7. Company’s deadline for exclusivity has been extended until November 14. Our tenant is not a party to the bankruptcy process. However, our tenant sold customer is a bankrupt entity for the financial and operating condition of Energy XXI are material to the predictability of our rents. We encourage investors to review the bankruptcy filings and SEC filings of Energy XXI, including an 8-K they filed on October 31, with a creditor presentation for updates on their events and remainders of the proceedings. Slide 5 addresses Ultra Petroleum’s bankruptcy. Although, Ultra filed within days of Energy XXI, they are not making the same progress. December 15 to March, the deadline for Ultra to reject or assume our lease. Should they fail to accept our lease by that date, it will be automatically rejected. Last week UPL published revised financial projections, supporting a healthy enterprise with $8 million of reserve value versus $3.8 billion of debt. The CEO had stated on a prior call that UPL was solvent. We infer that the company’s financial projections are based on uninterrupted access to the Pinedale LGS. Our CorEnergy has agreed to intermediation process, in order to improve our business relationship. And we’re confident that the state will have a net economic benefit from retaining access to our system. We’ll announce any material updates as conclusion of the mediation process. Moving to Slide 6. We present our per share financial metrics on a quarterly basis for the past year. As you can see AFFO has remained consistent for each quarter since acquiring GIGS, confirming the predictability of our business model. CorEnergy intends to continue paying dividends based on rents received depending on the outcomes of the bankruptcy processes of our two large tenants. Slide 7 has an overview of our capital structure at the end of the quarter. All of the leverage and coverage ratios remain within targeted ranges and compliant with our debt covenants. Our total debt to total capitalization ratio of 33.5% is within our target range of 25% to 50% and our total preferred to total equity ratio of approximately 14% is well below our target level of 33%. Now at the end of the third quarter, CorEnergy had approximately $53 million of availability in its line, plus an approximate unrestricted cash of $10 million. Many investors are interested in our ability and willingness to transact on additional acquisitions. Our business development team remains active in sourcing and analyzing potential assets and it’s our expectation that uncertainty surrounding Energy XXI and UPL will largely be resolved by the time any financing for such transactions would be required. Given the mediation process with Ultra Petroleum, this quarter we are foregoing answering any questions at the end of this call. So thanks everyone for dialing in.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.